Operator: Welcome to the Sappi Limited Q2 FY '17 Results Teleconference. [Operator Instructions]. Please note that this call is being recorded. At this time, I'd like to turn the conference over to Steve Binnie. Please go ahead, sir.
Stephen Binnie: Thank you. Good day, everybody. As per prior quarters, I'm going to go through the presentation deck and I will call out each page number as I move through it. Starting on Page 4, the highlights for the quarter. Firstly, EBITDA, excluding special items, up nicely from last year's $195 million up to $208 million this year. The profit for the period did come down from $100 million to $88 million. The reason for that was a positive fair value forestry adjustment last year which clearly is nonoperating and that did not recur in the current year, earnings per share, excluding special items, up from $ 0.16 to $ 0.17. On the net debt front, we continue to make good progress, down $322 million year-on-year to $1,329 million at the end of March. Turning to Slide 5, the -- some of the key financial metrics for us. And you can see across the board, we've been making significant progress. Perhaps one of the most particularly pleasing results has been the improvement of our return on capital employed. And as you can see, over this period, it's now improved from 13% in 2015 and now above 20% as -- in the current quarter. Turning to Slide 6, our earnings EBITDA bridge from last year's quarter to this year. You can see that we were positive on most of the dimensions, particularly on the selling prices and that's on the back of the improved dissolving pulp prices versus a year ago. And that market has been strong. We managed to make some savings -- product savings on costs and we see that flowing through both on variable and fixed. And then the negative is the impact of exchange rates and that predominantly relates to the stronger rand versus a year ago. Roughly a year ago, I think it was about ZAR 15 to the dollar. It's now in the 13s. So that's had a significant impact on our numbers. Moving to Slide 7, we have the EBITDA across the 2 segments that we report. You can see, consistent with recent quarters, on an EBITDA perspective, we're roughly half-half between specialized cellulose and paper. The paper includes both our traditional graphic paper, but it also includes specialties and packaging. Of the 51 percentage points, 13% relates to specialties and packaging and that's a number that we would expect to grow in the quarters as we move forward. Moving to Slide 8, the evolution of our net debt. And this tells a very nice story. You can see, from the peaks in early in 2014, a leverage ratio of 4.6. We're now all the way down to 1.7 and we continue to make progress on that front. And we expect our net debt to decrease further as we move through this financial year. Then on Slide 9, we have our maturity profile for our debt -- our long-term debt. The key items to talk about here are, firstly, the blue bar in 2017 predominantly relates to our $ 400 million bond and that was -- we paid $400 million which we paid in April. So that's no longer there. And then perhaps the other one to call out is the $302 million securitization structure which reaches maturity in 2018. We expect to roll that over in June of this year, so that will push out the maturity. So you can see, once that's done, we have a very favorable maturity profile and some years before we have any significant debt maturing. Then to Slide 10, our CapEx development this year. $350 million is expected. Some of that's coming through -- related to the South African debottlenecking projects for dissolving pulp. And as we began our specialty packaging conversions at Maastricht and Somerset, that also rolls into the '18 and some of it into '19, where we expect the numbers -- the CapEx to be approximately $400 million in each of those years. Moving forward then, turning to Slide 12. Firstly, the global paper market trends. On the supply and demand, we continue to see weakness in graphic paper markets. Clearly, that's had a significant impact on pricing over the last year or so and in this quarter. We continue to see closures, perhaps less than prior years. Specifically in this period, we've seen further announcements of supercalendered closures and we're hopeful that we will see more capacity coming out as we move forward. The specialty side continues to be good. And in the categories that we're -- and we see growth between 1% and 5%. Selling prices, I've already talked about, have been under pressure. But in recent months, they have started to stabilize. And in fact, in Europe, we announced the first round of price increases in -- effective in April and we've seen some of the benefit of that flowing through. And you'll have seen that we've recently announced further increases there, effective from July. And really, those are to offset the higher raw material prices, primarily from pulp. Europe -- just to remind everybody, Europe is about 55% integrated. So we have to buy the rest of the pulp. And clearly, the big rise in pulp over the last few months will have an impact on margins. Our strategy will be to look for opportunities to convert packaging -- to packaging as we anticipate declines in demand for graphic paper. And we've done a good job on the cost and we will continue to focus on that front. Slide 13 specifically refers to Europe. The margins have declined because of the lower year-on-year selling prices. I've already said that we've announced some price increases and we're starting to see the benefits of that coming through and the pressure we're going to get from variable costs, the pulp and latex as well. Specialty paper continues to perform very well. We're making good margins. And as we complete the conversions, that business will grow further. Then on Slide 14, we actually had a year-on-year improvement in profitability despite the fact that selling prices have been weak, albeit stabilizing in recent weeks. The variable costs have -- were down year-on-year and we continue to make good progress on the efficiency projects that we have. The region also benefited from the higher dissolving pulp prices. And our specialty business, albeit from a relatively low base, is starting to pick up momentum. Then to Slide 15, the global dissolving pulp markets. We've seen strong demand now over the last year and it continued into this quarter. Pricing was good, aligned to the prices for other textile fibers. We believe that demand will grow and continue to grow at about 4% or 5% over the next couple of years. And if we look at the planned new capacity from competitors that's coming on board, we think that will be -- the demand will be sufficient to meet that new capacity that's coming on board. Subsequent to the quarter end in April, prices have come back a little bit, but I want to stress that they are coming off a high base and overall, the dynamics in this market are very good and positive as we move forward. We will continue to look for ways to maintain our low-cost position. In the short term, we got our debottlenecking projects in South Africa which can add up to 100,000 in the next couple of years. And then we'll turn -- we obviously need to turn our attention to longer-term growth. Then on to South Africa specifically on Slide 16. The margins were very good, obviously, on the back of dissolving pulp -- higher dissolving pulp prices. And that offset the impact from the stronger rand that we talked about earlier. The last quarter, we talked about some production issues that we had, had at Saiccor. We had the shut in March and we believe that this will now be resolved. They have been resolved as we move forward. So we can get back up to next month production at the mill there. The -- on the containerboard side, volumes are good and are expected to continue to be positive as we move through the rest of the financial year. Turning our attention then to the strategy side. Slide 17 has the various pillars and I'll talk to each of those in the slides ahead. Slide 18, specifically on the cost. And you'll have seen in our numbers all the good work that we've been doing over a number of years and we continue to focus on this. Some of the smaller projects are outlined there, the turbines at Saiccor and Tugela or the new wood yard at Somerset in the U.S. This is an ongoing process, looking for opportunities. The procurement project that we've talked about in recent quarters is ongoing, on track and we continue to believe that it will deliver at least $100 million by the time it's completed. Then on Slide 19, we referred to this already, but we will look for opportunities to reduce our exposure to graphic paper. We recognize that it's in decline and we have opportunities to convert some of that capacity towards more growth markets, specifically on the specialty packaging. Obviously, we've made the announcements to reduce our exposure at Somerset and Maastricht and Lanaken is getting out of lightweight coated as well. So all in all, taking that into account, that will reduce our exposure. I just want to highlight -- and you would have worked it out from the numbers that I referred to earlier. But of our EBITDA now, only about -- it's close to 1/3 of our EBITDA now coming from graphic paper and that will continue to come down as we get closer to our 2020 vision. Slide 20 has -- talkies about moderate investments. And you see some -- again, some of the examples of the work that we've been undertaking, the debottlenecking at Saiccor and Ngodwana to boost our dissolving pulp, the investments in specialty packaging. We think that there are nice opportunities to grow packaging in South Africa in Ngodwana and Tugela. One of the keys here for us continues to be securing additional hardwood timber supply. And obviously, that's predominantly for dissolving pulp, but it's also for our entire business -- for our business in South Africa overall. Then Slide 21 just touches on a point that I referred to earlier, our return on capital employed. And you can see from the lows in 2013 of 5%, we continue to make good progress on all the work that we've undertaken. And as we move into the next phase of our strategy in terms of growing dissolving pulp and our specialty packaging, clearly, this puts us in a better position as we evaluate these projects. The Slide 22 is a slide that we've shown before, but I just wanted to recap. It's just a reminder of the 2 conversions that we referred to. These projects have obviously commenced and are progressing on track so far. To remind you, we're spending $140 million in Europe and we list the initiatives there. But specifically, it's going to give us more SBB and folding box board. And then at Somerset, the $165 million conversion at Somerset will, again, give us a packaging -- sorry, exposure to more of the packaging grades as well and give us a ramp-up to 350,000 tons. Slide 23. We've done a lot of good work on the balance sheet, as you saw from earlier slides and that will continue to progress. We refinanced those bonds. That will lower our interest going forward by another $20 million -- $21 million and we continue to look for ways to optimize our working capital. Then on Slide 24. As the balance sheet improves, we look for opportunities to boost our growth in adjacent businesses. Obviously, specialty packaging, I've referred to a few times, we do think there are opportunities. And then on the dissolving pulp, we want to continue to grow. We talk about the 100,000 short term. But we do think in the period to 2020, we're targeting growth of about 300,000 tons. And that's what we're working on at the moment. And then at the same time, on the byproducts, as you know, we've commenced some pilot plants there. And those are exploratory in nature, but in time, they could be quite lucrative. So turning to the outlook statement on Slide 26. I've already mentioned that the dissolving pulp prices have come under pressure in recent weeks. But overall, the market looks favorable and demand is strong. So the short to medium-term, as we look out 2 or 3 years, we're very positive about the prospects. The graphic paper markets continues to be weak, obviously, exacerbated by the higher input costs. And we're offsetting that by the -- in Europe in the way -- by the price increases that we've announced. We will look for ways to grow our -- accelerate the growth in specialty packaging and the conversion projects are under way. The rand volatility, obviously, is a headache and the fact that it's higher year-on-year. But even at these levels, we remain very competitive in global markets. So based on the fact that the rand is stronger, we think that the earnings for Q3 might be slightly lower than they were a year ago. However, the full year for '17 will be better than '16. So let me conclude the slides, operator. So put it back to you for question.
Operator: [Operator Instructions]. Our first question comes from Brian Morgan of RMB Morgan Stanley.
Brian Morgan: Two questions from my side. We saw an announcement from Fortress Paper about a month or 2 ago that they had successfully appealed the antidumping duties that the Chinese put against Canada to the WTI. Just wondering what the status is for you guys, if it's okay, if you've seen something similar on your side.
Stephen Binnie: No. We haven't challenged that specifically. Mark, do you want to comment on that?
Mark Gardner: No, Steve, other than what you just said. The -- we haven't challenged it specifically yet, nor have we seen or heard of any challenges from the North America -- from the U.S. producers yet. But it does raise questions. Because of the way Fortress won their complaint, it puts a question to the whole process, I believe, from what I've read.
Stephen Binnie: So perhaps just to add, Brian, from a Sappi perspective, the fact that Fortress can get into those markets should not have a significant impact on our business because we're relatively lowly exposed to the Chinese market. In time, obviously, we're hoping it creates opportunity for us.
Brian Morgan: Okay, cool. And then just talking about dissolving pulp supply and demand -- and you said that there's not a lot of capacity coming on in 2017, 2018 which is great. Can you talk to us a little bit about longer-term supply/demand fundamentals? You talk in your release about a 4% demand growth rate going forward. Can you talk to us a little bit about supply and supply risks and how you see that unfolding over the next couple of years?
Stephen Binnie: As we look out over the next few years, we think the dynamics are favorable. If we look at -- and we extrapolate the 4% or 5% growth out and we look at all the anticipated demand that's likely to come on board from competitors, we think the operating rate will remain favorable which will be good for pricing in the market. So we don't think there's significant risk associated with additional new capacity coming on board.
Brian Morgan: Okay. Just the reason I ask is, February, I was talking in their conference call about converting one of their lands to dissolving pulp quite recently. And that sort of -- that can come on pretty quickly, can't it?
Stephen Binnie: No, sure. Look, that's the first time they've mentioned that. And specifically, the comment that you're referring to was quite speculative in nature, saying that they may look at it. And if I'm correct, they only referred to 200,000 tons.
Brian Morgan: Yes, that's right.
Stephen Binnie: So we don't think that's a material risk.
Operator: [Operator Instructions]. No further questions, Mr. Binnie.
Stephen Binnie: Okay. Look, if there's no more questions, we'll view that as positive. So I want to thank everybody for joining us today and we look forward to discussing our next set of results at the end of Q3. Thank you very much.
Operator: Thank you. On behalf of Sappi, that concludes today's call. Thank you for joining us. You may now disconnect your lines.